Executives: Reed Nolte - SVP, IR  John Nallen - SEVP and CFO Chase Carey - President and COO James Murdoch - Deputy COO, Chairman and CEO, International
Analyst: Douglas Mitchelson - Deutsche Bank Michael Morris - Guggenheim Securities Michael Nathanson - MoffettNathanson Research Jessica Reif Cohen - Bank of America Merrill Lynch Benjamin Swinburne - Morgan Stanley Richard Greenfield - BTIG John Janedis - UBS Anthony DiClemente - Nomura David Bank - RBC Capital Markets Alexia Quadrani - JPMorgan 
Operator: Ladies and gentlemen, thank you for standing by and welcome to the Twenty-First Century Fox 2Q '14 Earnings Release Teleconference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session with instructions being given at that time. [Operator Instructions] And as a reminder today's call will be recorded. I would now like to turn the conference over to your host Mr. Reed Nolte, Senior Vice President, Investor Relations. Sir, the floor is yours, please go ahead. 
Reed Nolte : Thank you very much, Steve. Hello, everyone and welcome to our second quarter fiscal 2014 earnings conference call. On the call today are Chase Carey, President and Chief Operating Officer; James Murdoch, Deputy Chief Operating Officer; and John Nallen, our Chief Financial Officer. First, we will give some prepared remarks on the most recent quarter, and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to 21st Century Fox's business and strategy. Actual results could differ materially from what is said. The Company's Form 10-Q for the three months ended December 31, 2013 identifies risks and uncertainties that could cause actual results to differ, and these statements are qualified by the cautionary statements contained in such filings. Additionally, this call will include certain non-GAAP financial measurements, the definition of and a reconciliation of such measures can be found in our earnings release and our 10-Q filing. Finally, please note that certain financial measures used in this call such as segment operating income, before depreciation and amortization often referred to as EBITDA, and adjusted earnings per share are expressed on a non-GAAP basis. The GAAP to non-GAAP reconciliation of these non-GAAP measures is included in our earnings release. Also note that the historical results for periods prior to June 28, 2013 described in the press release and on this call have been adjusted to reflect the separation that was completed at the end of fiscal 2013.  With that, I'm pleased to turn it over to John.
John Nallen : Thanks Reed, and good morning, everyone. As you will have seen in today's earnings release, our financial results continue to reflect strong top-line revenue growth. We reported second quarter fiscal 2014 revenues for the total company of $8.2 billion, which is up 15% compared to the second quarter a year ago. Approximately 40% of this growth is organic with the balance reflecting the inclusion of revenues from our newly consolidated business namely Sky Deutschland and our acquired cable sports channels. Total segment EBITDA for the second quarter was $1.54 billion, a 4% reduction compared to the $1.61 billion reported a year ago. This year's results reflect solid underlying cable channel growth, continued strength in retransmission consent revenues and a strong TV production performance. These increases were more than offset by lower contributions from our film business and weaker ratings for the X Factor, as well as the impact of the investments in our new cable channels and the consolidation of Sky Deutschland's EBITDA losses. In aggregate, the impact of acquisitions and new channel launches reduced our reported EBITDA growth by approximately 6%. Additionally, unfavorable foreign exchange movements reduced the growth by a further 1%. From a bottom-line perspective, we reported income from continuing operations attributable to stockholders of $982 million as compared to $1.06 billion reported in the second quarter a year ago. Excluding the net income effects in both years of amounts reflected in other net and our gains from participating in BSkyB's share repurchase program, second quarter adjusted EPS was $0.33 this year versus $0.35 in the prior year. Now let me provide some additional context on the performance of a few of our businesses and let's start with the Cable Networks. Overall, total segment revenues in the second quarter increased 14% from last year, highlighted by a 17% increase in affiliate revenues and 7% advertising growth. The 17% affiliate revenue growth was led by higher rates across our channels. Domestic affiliate fees increased 15%, primarily from higher average rates led by the RSNs, FX, and Fox News, as well as our new channels FS1 and FXX. Increased revenues related to the impact of last year's NHL lockout and the inclusion of Sports Time Ohio also contributed to the growth. Our reported international affiliate fees were up 22%. Within this overall increase, affiliate fees at the non-sports channels at FIC and STAR grew 16% in local currency terms. The balance of the affiliate fee increase was from the international sports channel, which was partially offset by unfavorable currency movements. Second quarter advertising revenue growth reflects domestic advertising increases of 7%, led by double-digit gains at the FX channels and the RSNs, which were partially offset by political related advertising declines at Fox News.  At the international channels, advertising revenue increased 9%. Within this overall increase, local currency advertising at the FIC and STAR non-sports channels grew at the same 9% rate. The increase generated by our sports channels was offset by the overall negative impact of foreign currency. So, total Cable segment EBITDA in the quarter was $1.04 billion, a 2% increase above prior-year levels. Similar to our first quarter results, this quarter's strong underlying EBITDA growth generated by the RSNs, FX and Fox International channels was largely absorbed by the impact of a planned investments in our new channel launches and the impact of unfavorable foreign currency comparisons. Combined the new channels and currency negatively impacted the year-on-year Cable segment growth by 10% with the new channel launches alone representing a 7% impact to our growth. Turning to our Television segment, EBITDA in the quarter of $218 million declined $27 million from last year. We had strong growth in the retransmission consent revenues and improved network sports results led by the revenue increases from solid ratings to the NFL regular season and the MLB post season. These improvements were more than offset by substantially reduced political revenues at the stations, weaker X Factor ratings, and higher programming and marketing costs at the Fox Network in support of our initiative to invest in new network. At the Film segment, second quarter EBITDA was $337 million, down 21% from a year ago. This decline primarily reflects lower theatrical revenues and higher releasing costs for this year's films, including the Secret Life of Walter Mitty, Walking with Dinosaurs and The Counselor as well as difficult comparisons to last year's results, which included the theatrical release of Taken 2 and the home entertainment release of Ice Age - Continental Drift. Revenues and EBITDA contributions at our television production units were up year-over-year, primarily due to this year's domestic syndication of modern family and higher SVOD revenues. Our DBS segment reported EBITDA of $30 million in the quarter as compared to $55 million in the prior year. This decrease reflects the consolidation of Sky Deutschland's negative EBITDA results, which more than offset a $25 million improvement in SKY Italia contributions, primarily for marketing and operating cost reductions. Total revenues at the DBS segment increased by $605 million, principally from the inclusion of $565 million in Sky Deutschland revenue. Sky D this morning reported ARPU gains of 5.5% and a year-over-year direct subscriber increase of 304,000, yielding 3.67 million subs at quarter end. At SKY Italia, local currency revenues in the quarter were similar to a year ago as a slight ARPU increase was offset by lower average subs for the period. Quarter-end subscribers of 4.76 million were unchanged from the end of September. Now before I turn to guidance, let me give you a quick update on our buyback activity and the delisting process. Since the date of the separation, we have been consistently repurchasing FOXA shares, resulting in approximately $2.3 billion of repurchases from July 1 through yesterday. So, we're on track to complete the $4 billion buyback within the 12 month timeframe we previously announced. Additionally, in the beginning January, we announced our plans to delist form the Australian Stock Exchange. Yesterday, we filed a definitive proxy statement with the SEC that includes detailed information about the delisting process and key dates. If approved, the effective date of the suspension in trading on the ASX will occur at the close of trading on May 1. Finally, let me address our guidance for fiscal 2014 total segment EBITDA growth. Since our last earnings call three months ago, we've updated our operational assumptions to reflect our first half performance and our outlook for the remainder of our fiscal year.  And while we have usual pluses and minuses across most of our divisions that essentially offset, we are lowering our outlook in two areas. First, our Film division's results for the six months have been below our plans, including the impact of our three theatrical film releases in the December quarter and this will impact our full year outlook. Second, primetime ratings and therefore advertising revenues will be lower than anticipated at the Fox Broadcast Network, largely due to the mixed performance of our shows led by the lower than planned ratings on the X Factor and the early results of American Idol. Therefore these network advertising revenue factors will also impact our full year outlook.  So, primarily as a result of these film and network factors and based on all of the assumptions inherent in our projections, we now expect that our total segment EBITDA percentage growth rate for fiscal 2014 will be in the mid to high single-digit range, above the $6.26 billion at a total segment EBITDA base level of fiscal 2013. This outlook does not reflect the impact of consolidating the YES Network results, although this factor would not materially impact the 2014 growth rate. If that transaction closes when expected, we will consolidate the YES Network results beginning in our fiscal fourth-quarter, including approximately $1.7 billion of their debt. As we look out to our expected performance for the second half of the year, we anticipate that a majority of our overall annual growth will be realized in the fourth fiscal quarter, as we expect very favorable film comparisons led by this year's comparatively stronger releases, including Rio 2 and X-Men; Days of Future Past. Additionally, results of the Cable segment are expected to be strong, driven by continued top-line growth and a more moderate increase in costs, principally from sports rights.  So with that, let me turn the call over to Chase.
Chase Carey : Thank you, John and good morning everybody. This may sound like an unexpected opening line after John just took our guidance down a notch, but we've never been more excited about the future at 21st Century Fox. Let me be clear that I'm not minimizing our disappointment in the adjusted guidance. However that disappointment is not distract from the momentum that exists across the Company and the confidence in our ability to achieve the overall three-year goals we outlined last August. Structurally and strategically, we've never been stronger and better positioned. We continue to build the foundation that will enable us to deliver sustained long-term growth. At our cable channels that foundation begins with long-term affiliation agreements that drives stable top-line growth and provide the base to build new channels like Fox Sports 1, FXX and our new sports international channels. We continue to conclude agreements around the world that meet or exceed our targets for both existing and new channels, which reflect our global strength. In the last few months, we concluded such agreements with two of the top 10 U.S. distributors, as well as leading distributors in Latin America and Asia.  We also continue to take advantage of opportunities to add new dimensions to our Cable business. Last month we agreed to increase our ownership in YES to 80% and we've recently rebranded multiple channels in Latin America and Europe building a global lifestyle brand called Fox Life, which creates an additional international tent-pole brand to go with Fox, Fox Sports and National Geographic. Other foundation to drive our long-term growth is our unique brands content and long-term rights that distinguish our business. Our U.S. channels continue to maximize these strengths and build on our market leadership positions. At FX, American Horror Story had a great run with its best ratings ever. Sons of Anarchy finished its season as the highest rated series in FX history. We also look forward to FX's launch of Season 2 of The Americans later this month and the premier of new series like Tyrant from the creators of Homeland and The Strain, both of which will premiere this summer. Our RSNs continue to deliver on-target results and we're well-positioned in the rights discussions.  FOX News, which is dominant ratings for us as ever, although headwinds in the ad markets during this off-political cycle have been tougher than expected leading to results that are up year-on-year, but behind our targets. Fortunately, we're headed back into another political cycle and recent programming moves are delivering even stronger ratings. At Fox Business, we're excited to welcome Maria Bartiromo and look forward to ongoing growth and profits with new and improved distribution agreements on top of ongoing improvements at the channel. We're still investing in building FOX Sports 1 and FXX, while going through some of the growing pains of building a programming line-up that those channels are on course and will be a source of new profits for years to come. An issue that has been a topic of recent debate is the impact of consolidation in the U.S. distribution industry. We honestly don't see any material consequences to our business, in fact there may be some positive ones. First, unique content at scale and expanding digital world has never held a stronger hand. Second, new digital platforms and over the top players may grow even more quickly with the consolidated distribution industry. Furthermore, the real issue is how many choices an individual home has, not how big is the distributor. We already deal successfully with large distributors. Cable consolidation will not change the number of choices. Consumer choice is actually likely to increase not decrease as over the top digital platforms emerge. Finally, consolidation may spur innovation and improved customer experience and new technologies like targeted ads, as well as other enhancements that enlarge the pie for everyone.   Turning back to our channels business, another foundation for our long-term growth is our international leadership position. Although we expect that the continued weakening of emerging market currencies will adversely impact this year's Cable results by an additional $50 million to $75 million from what we assumed at the start of the fiscal year. Our operational progress internationally, including at both Fox International channels and STAR continues to be a story of across-the-board strength, while adding new dimensions to the business. STAR recently launched the STAR Sports brand across its six sports channel including STAR Sports 3, India's 24x7 Hindi sports channel and the digital sites starsports.com substantially increasing the reach of sports and establishing a new foundation for growth in India. Although related investments are stemming our short-term profit, this initiative should prove to be one of our largest drivers of growth five and ten years from now.   On the broadcast side of channels business, we've had mixed results. Sports has been a positive, particularly the NFL capped by Sunday Super Bowl delivering TVs largest audience ever. Retransmission is also an ongoing source of growth that we continue to conclude agreements at or above our targets. The one area that is delivering results significantly below expectations is the Entertainment Network. While we had success with new series we'd be following Golden Globe winner Brooklyn-Nine Nine, accommodation and disappointing ratings from X Factor, larger programming right has been planned, and a bit of extra programming and marketing costs leave us well behind our goal. We also expect American Idol, which is a much better show than it was a year ago to deliver results below our targets. While these results are disappointing, we're quite bullish about the direction of the network as we break away from decades-old antiquated rules of broadcasting or hundred scripts in the fall become 20 pilots in the spring leading the dozens of series being launched that September with each planned to deliver 22 episodes before the cycle begins again. During the coming months, our new strategy for the network will start to evolve with events like 24 and Cosmos, as well as new series like Gracepoint and Hieroglyph. All launched at different times of the year, different series lengths and new programs ordered without pilot that goes straight to series. We still rely on some of the historical industry practices where it makes sense. However, we can't be bound by rules established in a three network world. We need to execute with an opportunistic agility to maximize its value. Our broadcast network is the strongest distribution platform in the business and this new direction will enable us to build it to its full potential. Our content business is also one with mixed results. Our television studio continues to be a powerhouse with 43 scripted shows on broadcast and Cable this season and 17 new pilots for next season. We're more excited than ever about the increasingly robust digital market for our product. We just concluded a new agreement with Amazon granting exclusive SVOD writes to FX's hit shows Americans, as well as SVOD distribution rights to other new and library series. More details will come from Amazon later today on that. On the Flipside, our film company has had a difficult first half of the year. I don't want to try and put a silver lining on the results, we're disappointed. But with this business we'll always its ups and downs. We are energized about a number of key releases over the next six months, including Rio 2, X-Men – Days of Future Past and Dawn of the Planet of the Apes.These results will have a big impact on fiscal 2014 due to the timing, but we're optimistic that it will provide a great start to next fiscal year. Finally, our satellite platforms in the U.K., Germany, Italy and India continue to operate well in building their leadership positions. We're pleased with the recent subscriber addition at BSkyB and Sky Deutschland and have stabilized subscriber levels and profits in Italy. So in aggregate, while we have some businesses that aren't delivering planned and short-term results, we feel good about the strategy and direction of all of our operations. Overall, we have solid momentum which gives us confidence in achieving our long-term targets. With that, I'll turn it back to Reed.
Reed Nolte: Thanks you, Chase. Steve, now we'd like to move on to the Q&A part.
Operator: Ladies and gentleman we’ll now begin the question-and-answer session of today’s conference. (Operator Instructions). Our first question will come from the line of Mike Nathanson of MoffettNathanson. Please go ahead.
Mike Nathanson - MoffettNathanson Research: I have one for John and then one for Chase and James. John, could you just spend some time on Cable Networks. Expenses were up 22% in first half. I wonder when you look at this fiscal year, what you expect expense growth will be for -- given that's for the year, maybe you can separate the growth rates for the year between domestic and international expenses?
John Nallen: I'm not sure that I look at it that way, Michael. But I think the growth rate will be consistent as we go through it on the sports side, internationally. It's probably consistent growth rate and expenses we go through. On the U.S. side, the growth rate will moderate a bit in the fourth quarter as I indicated because the sports right costs particularly at FS1 are not as significant as they were or will be in first three quarters. So, there will be slight moderation in the fourth quarter, but I think the increase will be fairly consistent for the first three quarters of the year.
Mike Nathanson - MoffettNathanson Research: Then for Chase and James, you talked a bit Chase about changes in the broadcast model. One of the things we hear a lot about is VOD, because you guys are only network at a studio, there seems to be tension about VOD rights in terms giving of giving people MVPDs stacking rights for a whole season. So, how you feel about possibly change in the model to give four season stacking rights versus what it does to be back end of the value, just an indications or you guys are feeling about that change to the model.
Chase Carey: There is no question that increasingly, the value of these rights is -- extends beyond the linear networks and into the VOD world. I think each of those businesses, which is what we're doing needs to pursue a strategy that makes sense for them. So I think for our networks that's capturing and controlling a wider set of rights, variable to deliver an experience to their consumers that enables people to watch what they want, when they want, where they want. I think in order to do that the networks have to be aggressive about controlling and negotiating the rights they need.  Negotiating those rights with our studio is really not they have been negotiating rights with third parties. I think equally on the content side, we recognize those rights have value, and we expect the content side to extract value for its rights in the marketplace. So, I think owning both sides enable us to have a strategic understanding of sort of the business as a whole, but I think the execution of that really condemned to each individual business pursuing what makes sense for it strategically, which on the network side is controlling a wider set of rights in a digital world, on the studio side is extracting appropriate value for its rights from distributors. I think we have the benefit of visibility to both sides of that and hopefully makes smart decisions about how much we’ll invest, how much we’ll invest in the networks to control those rights on one hand and ensuring on the content side we’re extracting fair and full value for those rights. As I think it has the benefit of strategic understanding of those, but the actual execution really comes out of both businesses, and making smart decisions.
Operator: As an additional housekeeping item and in interest of time, we ask that you please limit yourself to one question. Our next question will come from the line of John Janedis of UBS. Please go ahead.
John Janedis - UBS: John, there has been a lot of focus as you know on X Factor and Idol. Given the comments you made on the network and ad maintenance from ratings, does this change your view on the size of investments on scripted programming relative to prior expectations?
Chase Carey: No, I don’t see anyone coming, I think, they are looking great shows. Clearly, the scripted entertainment area for us both the studio and the network as I said, this year we have the two new shows, we feel great about. Brooklyn Nine-Nine and the Sleepy Hollow, so certainly that’s a great area for us, but equally we’ve had great success over the years with non-scripted entertainment and actually we have some new executive in place to energize that area and actually he’s got some great things coming out later in the year. Look, I think it’s important for us to continue to be opportunistic and open-minded in some ways continue to try to find new programming in whatever format that excites the people and energizes people. We think there are opportunities across the board and I don't – I think we got to continue to really try and find, and build that next hit franchise whether it’s scripted or non-scripted, but it’s – we certainly expect to be aggressive in both sides of it.
Operator: Our next question will come from the line of Anthony DiClemente of Nomura. Please go ahead.
Anthony DiClemente – Nomura: Just wondering is the change in guidance has any bearing on your longer term guidance targets, if you could just talk about that $9 billion EBITDA number? Then Chase, just love an update on your thoughts on Aereo, as we go into Supreme Court ruling in June and July? Thanks.
Chase Carey: No, it really doesn't affect so that what I said – I think structurally, we feel good about where we're at. And again, I don't want to be clear that I'm not trying to just go out over the challenge that we’ve got, they're really in a couple of businesses. In the film business, it is a business that has ups and down. We feel good about the films we’ve got coming as we look forward. But it’s not a structural. It’s a film business, it’s still – look we’ve got a great management team that has proven its capability to be a market leader for year. It is business that again has some ups and downs in that work as well. I think you are doing some really exciting things. As I look out, on the shows I touched on coming, we feel great about where it’s going. So, for us, there are challenges we got this year. We take them seriously, but when I look at the structural underpinning of what gets us to that $9 billion taller target, those structural underpinnings there and we continue to execute on and we continue to conclude distribution agreements, and that enable us to get there. We continue to build the array of business platforms, channels, really are putting the fundamentals in place that are important to reach those goals, our new channels, while we're investment in them, investments in FXX and FS1 are pretty much on target with what we expected to invest. So, there is an investment going into it, but we're still very excited about the future of those businesses. So, as we look out the fundamentals are really still in place. We need execute better in a couple of businesses and – but that’s really the core of what we're dealing with here. On Aereo, it’s headed to the Supreme Court in the six months. I think we’re cautiously optimistic that that will hopefully bring them an end to deliberate illegal theft of our content. I do want to be clear because you hear a lot about this, this case is about respecting copyrights, not about cloud computing. We hear a lot of scaremongering to this case, threatening to cloud computing, nothing to be further from the truth. Our content gets sold by Amazon, iTunes, others today that use cloud technology. We’re a big fan and supporter of cloud technology. It simply needs to be done in the way that respects our copyrights, and we will pursue our rights. Right now we’re pursuing a legal we are pursuing, through the paths we’ve described before. But at the end of the day, our business needs to have a dual revenue model and needs to be in a place that we could be competitive to the marketplace. Hopefully, we got those rights reaffirmed through this process.
Operator: Our next question will come from the line of Ben Swinburne of Stanley. Please go ahead.
Benjamin Swinburne - Morgan Stanley: Thanks. Chase, do you think there is anything going on with Cable News beyond just the normal news cycle. I just asked because it's really across all Cable News Network we've seen, -- creating I think disappointing advertising? Then, James could you talk about Sky Deutschland and the outlook there, they had a really bullish print today and outlook. But Netflix is coming to Germany. The market seems to be a bit spooked, what that could mean. How do you think that business is positioned in the face of and historically price sensitive German consumer and an over-the-top new entrant?
Chase Carey: For us and Fox News realistically, no -- last year they had -- the end of last year they had to deal with the off political cycle, and there is no question that the year-on-year comparisons were tough for a non-political year against the political spending from the year before. But actually the news network is doing right. I think it's rating since January are up year-on-year, I think I said in the last call, we made a series of changes that are actually morning show with the talent we reorganized the primetime lineup, I think launched or introduced a little while ago 5 O'Clock, which has been a great addition to the lineup. I think put new energy in it, I think the audience is actually – versus what it was recently, for genres it's younger and bigger.  So for us, we feel pretty good about where we are at and again we have to fight through the cyclicality of political spending, which gets bigger and bigger. Many people's chagrin in other arenas, but becomes a bigger factor that creates cyclicality here, but for us Fox News is realistically just a locomotive fit that keeps going and with that I do think Fox Business is really beginning to hit its stride. I think it’s great moves. I think Maria Bartiromo has been adding a great dimension to it. We continue to strengthen distribution agreements to Fox business and I think that channel really has an increasingly exciting future as it really begins to carve out a space of the distribution platform finally fully in place and I think a lot of moves, we’ve just made in the line-up started to get some traction. Ben just on Germany, I think, I mean obviously, Brian and the team reported results earlier today are I guess, I guess very early this morning, our time. And so I don't want to add too much to that, but look I say, it's a very competitive marketplace. It's a marketplace that you have traditionally. We've been competing with free satellite channels as well as in Cable and IPTV services. But I think Sky Deutschland's positioned really well. I think the brand is you know increasingly established in a marketplace just after – only after a few short-years. The quality of the product is very high, and really Sky Deutschland's positioning, where it's available over any infrastructure be it cable, IPTV or satellite, as well as the very, very successful Sky Go TV Everywhere product and now the new stand-alone over the top products.  Now, I think the Company is positioned well. Look Germany is a very big market. I think we've shown over the last few years that you can increase your revenue per customer there and you can attract new customers which a lot of people didn't think was possible, and the Company has really a momentum to it and is on a trajectory that we think is very encouraging. So, I think it's not a zero-sum game. I think there is a lot of choice in the marketplace already. We already have WATCHEVER there and other things like that, and it's going to continue to be dynamic and competitive. But as long as we can keep innovating and keep a good quality product on screen for our customers, I think the Company is going to continue to do well. Thank you, Ben. Next question please. 
Operator: Our next question will be from the line of Mr.Douglas Mitchelson of Deutsche Bank. Please go ahead.
Douglas Mitchelson - Deutsche Bank: Chase, I'm curious if there is an opportunity over time for BSkyB, Sky Deutschland and SKY Italia to work more closely together. Is there potential upside form that and separately, John or Chase, I think you implied, Chase, the Company is still on track for $9 billion of EBITDA in fiscal '16. Any help that you can give us for the cadence in fiscal '15 growth versus fiscal '16 growth given the lower fiscal '14 base would be helpful.
Chase Carey : In terms of the Sky's, I think we do think they truly – they clearly benefits the Sky's working together they share technologies, they share many – certainly many of the operational fundamentals of the businesses they share across them. We went down the path to acquire BSkyB and part of that was a view that there were values in having those businesses more closely aligned.  We're obviously not on that path today, so I think we're trying to do more and more of that and find ways we can capture the value by having those companies, share things they've learned, share expertise, benefit from each other and win-win ways. And hopefully, we'll continue to try and get and exploit that. But I think it's an opportunity where there are opportunities to have those businesses learn and benefit from each other, and I think we'll continue to try and find ways to tackle that given where we're at structurally.  I think in terms of guidance, looking at the years – looking through the years, again, you take one of the two the issues in sort of '14, if you take the two, one is film, which is sort of, I don't want to completely call it a one-off, but in many ways was the result of films released during the last six months. They don't have much of an impact, realistically; the issues that caused the shortfall in the film business in '14 aren't going to really affect '15 at all. I mean '15 will be affected by how our films perform in the next six months, we feel good about them, but the flow-through of the films we've released to-date is fairly marginal issue in '15. I think for the network in many ways, it is again sort of that transition. I mean we've gone through the network in many ways it was the network that had this unique franchise American Idol that sort of transcended everything else in Television. And it’s gotten to a place today. Well, actually it’s a great show. It's a top-ish show, we'd love to have the ratings for that on any other show but if not a show that sort of drives the whole network and the way it did in years past. And so we've been planning that adjustment knowing that the show is 13 years old, we hope it has 14, 15, 16, 17th years but they won't be years that look like years five, six and seven. So this transition of the network from having this sort of locomotive that's sat there in the middle of it that generated unique profits, we've known is coming to the end. It sort of winding down to a place where it becomes just a great successful show again hopefully this year, we think it's a much better show hopefully there is traction, gets better traction as it goes through this season. We think it has the potential. We think they've done a really good job and it's a very entertaining show. But it's going to be a good show. And what's happened is, the ratings for that as well as X Factor, fell faster than we hoped. But directionally it's not different. We didn't expect those, we haven't been planning on those to sort of all of a sudden have a rebirth. What we'd hope to do was manage them through this process. So, it probably moves those to a slightly lower base, but it really isn't directionally different than what we would have been planning which is -- those shows to be part of the lineup, and really part of a broader diversified lineups we're increasingly looking to develop is new hits to take them on. So again, I don't think it puts the network, yes, may be a little bit but not really materially in a different place. So, I don't think those two items, still really I wouldn't say changed our view on '15 much at all. I think the network probably marginally, and the rest of it, there are some issues that are tougher than we planned. The foreign exchange is that we start up the year and we think we had a $100 million hit from foreign exchange and now it's looking sort of well north of $150 million. So there are some of those issues and those we put in a jump, put in the ordinary course up and down, the upside in sports could absorb the hit on foreign exchange and other pros and cons. So, I think those give and takes we had assumed, we can sort of manage through those give and takes. So, I don't think it would change our outlook on '15 that much again. '15, we do expect it to be a big bounce up in '16, and I think that still true. I mean we're still very much in a build process, and I think we talked about the investment in the new channels and actually said the build is actually the investment in the new channels is actually a little higher in '15 than '14, and that's been planned. I mean that's sort of due to the way the sports rights roll-in. But again, it's a long-winded answer. If I look at it holistically, I don't think as we look at '15 and '16, we're really in that different place. Obviously by the end of year, we'll see. Well, it's six more months and we'll know more than we do today, but I wouldn't say I feel that different about '15 and really don't feel different about '16, where we'll be.
Reed Nolte: Thank you, Doug. Can we have next question please 
Operator: Our next question will come from the line of Jessica Reif Cohen of Bank of America. Please go ahead.
Jessica Reif Cohen - Bank of America Merrill Lynch: Oh, thank you. One for James and one for Chase. James, now that you control all of STAR Sports for roughly a year, could you just talk about what you've done differently and maybe you can provide some color about investments still needed in the ultimate growth trajectory for that business? Then Chase on FXX, with The Simpsons coming in August, it just seems like such an amazing branding opportunity. Can you talk about how that show can drive the channel and how quickly you can monetize it?
James Murdoch: Thanks Jessica. On STAR Sports, so I think it's been really exciting period for us since being able to takeover ESPN share and move with ESPN STAR Sports and that's really been across Asia, really the creation of a Fox Sports brand in Southeast Asia, East Asia and the STAR Sports suite of channels in India. Just on Start Sports it's been very exciting. As Chase mentioned, six STAR Sports channels were launched at the -- towards the end of last year. And some of the things that's exciting about it, for example doing a 24 hour Hindi language coverage of Indian cricket would seem reasonably obvious and surprising that it hadn't been done before and that's proving very, very successful. From an investment perspective, it's a little bit lumpy. As you know we had some additional ticket rights and additional [indiscernible] in the last quarter in India, and some of those things will continue to be a little bit booked across years and things like that, particularly impacting the STAR Sports business over the next few years. But we think it adds really a fundamental new dimension to the Indian business. We're a leader there in the general entertainment category and many, many of regional languages of India and have really got the number one network across the country. Adding sports to that portfolio, we think is very, very exciting, it gives us a whole new dimension from the standpoint of affiliate revenue growth and we can really cement our leadership. So, we think it's a real component of getting that business as we've said in the past to the overall Star business in India should be a $0.5 billion profit business within a reasonable horizon, but this investment in this year and next year and a bit in the next given some of the rights cost that come through, is a big investment, but it's really a testament to our belief and what we can do in that region, and we think India is a marketplace that's going to be increasingly important for us and one where we can relate – put even more distance between us and our nearest competitors.
Chase Carey: On FXX, I mean there is no question. Simpsons is tremendously exciting and important event and sort of opportunity for us. We do – it is more than a show, I have said it before. In many ways we look to use that. When I turn in the Simpsons channel, but in many ways it will be the face of the channel, it will clearly be much more than just a series taking up a large block of hours. It will be a series that helps brand the channel, helps drive the channel and we are doing – working really hard on it. We're also really excited that it is really gone up in many ways the breadth of rights we have there will enable us to do some really unique things in the digital sense. So it's not just branding the channel from a linear perspective, but really starting to – really create some precedence in terms of creating a digital experience aligned with that channel that adds a whole new dimension to it. Towards the monetizing it, it's always in the cable in this world. It's always a little complicated, because you can monetize through two things, monetize through affiliations and you monetize through advertising. So the affiliation side is obviously tied to its affiliation and the freedoms come up. If you don't have it up there, and I think fortunately, we are in a place in part of what's the timing. It's a pretty big block of our affiliation agreements in the sort of year plus post, I think probably half of that universe comes up for renewal within a year and change. I don't again, I didn’t look at it sort of had the exact dates off the top of my head - from when then Simpsons roll-in. So, the way we can get momentum, clearly the – monetizing it through the affiliation side, is obviously a big part of it. I think from an advertising perspective, it's going to better execution. I think FX has proved to be pretty good at sort of distinguishing themselves from everybody else out there. I think they are demand-relative; I think they are second to none if you stack FX up against the channels they compete with today. I think they have proven ability to distinguish themselves from the pack, and I can say we feel really good about their ability to drive a level of interest into that, that we could monetize through advertising, but we feel really good about it. But I want to say that. At the end of the day, this is, we're building an asset. I mean the question – I'm much more sort of focused on where can you get this in two to three years and where can you get this in two quarters? So, it is – this is opportunity to build a franchise that can be a real tent pole for new growth in our business. So I think it is, yes we care about short-term and want to do what we can to drive short-term. But, building an asset like that and investing it, it was – I think the real key issues is where can you get that business to in two to three years, not in two to three months.
Reed Nolte: Thank you, next question please.
Operator: Our next question will come from the line of Mr. Richard Greenfield of BTIG, please go ahead.
Richard Greenfield - BTIG: Hi, thanks for taking my question, I wanted to follow-up on Michael Nathanson's question. When you look at a show like the Simpsons, you've actually acquired all of the prior season rights to use for your application and so, instead of selling that to a Netflix or Amazon, you are keeping all of that for yourself to drive traffic to your apps. Wondering, when you look at shows like The Americans and any of your shows or content you are creating, why is it not the right decision for FOX to keep those rights in-house to build your own direct-to-consumer applications versus selling them to third parties, I realize there is a near term cash infusion from selling them. Why is the Simpsons decision not the right decision for all of your content as you look forward? Then just a separate question on Formula One rights, there is lot of noise about Malone and Discovery possibly buying them it seems like something that would fit very well with Fox globally or is that something of interest to you?
Chase Carey: On the Simpson's question – the rights question of why not keep all our rights in-house. I think it's important. I think if you go back to Michael's question and again I think there is a real benefit to us being, we believe the vertical integration of our business is the real strength. I think the strength comes from having a strategic understanding of both sides of that, better insights and ability to make that's where they make sense. But I think when you get to one size fits all I think that's, I don’t think that’s the right way to go. I think at a more granular level you have to sort of look at decisions, on one level holistically and on another level for each individual business and those businesses have to make bets. There are times when our distribution businesses have a unique ability to take advantage of our set of rights for us -- to me the Simpsons is the perfect example.  We have a new channel that FX, that Simpsons could help take to a whole new level. So it made sense for us to probably invest more than anybody else in The Simpsons because we can monetize it in terms of building a unique asset. In the other terms when somebody else for a piece of content we own has a unique need that will end up means they are going to pay more than it's worth to our asset. And they just say, we are going to keep it, nonetheless even if somebody else thinks, because they have a need worth a lot more than it is to us. I don’t think that makes sense I think it's important that, and we are not going to do is undersell the content.  We are precautious. We have people in it, it's important that our content gets full and fair value and therefore if somebody in the market sees much more value in that content than we do, whether it is because of a need or just because of a belief then there are places where it makes sense to take advantage of that, conversely I think we hopefully have a breadth of assets that will increasingly let up, take advantage of assets and example FIC, I mean Fox International Channel. There are a number of place where we have taken series and bought out the international rights to shows we had.  A unique need, we had a unique franchise in Fox International Channels to take a show like the Americans or, I can't remember they have done a couple. They bought the global right, global distribution rights to that and used it as a dimension. But it was really based on the Fox International Channels having unique strategic need and ability to build the value that enable them to make a bet. But again there'll be places where third parties will see a value that exceeds what it's worth to us and I think that’s the right way to maximize the business.  We have the benefit of the visibility to make intelligent decisions. So, where we think it's worth making a bet. We obviously have the ability to see the picture holistically and make those bets intelligently but I do think you have to look at it from holistically as well as from each individual businesses perspective. And then Formula One, Formula One is great rights I mean at the end of the day they are buying I guess, I don’t know what's going on in Formula One I read the same paper you do. We like rights they are talking about buying sport and I guess to what degree you can buy sports to get the rights, I mean I think if you are buying, you have to buy because you like the sport.  You believe the sport is a good investment. There are a lot of things that go into the sport and that Formula One certainly TV rights are a big part of it, but there are other big elements on the revenue side and obviously it's a big business that requires expertise management. So I think very good business but I think you'd go into it, if it's for TV rights, I don’t think you buy the asset, to get access to the TV rights. I think you buy it because you think it's good business. And I think TV rights we license it in the marketplace and we obviously have a good relationship with Formula One and hopefully continue to build it. But I think to the degree there is investment in Formula One, anybody making that whether it's up to anybody else you'd have to make it on the merits of what you think about Formula One and how good investment is and what's the future of that.
James Murdoch: And Rich, it’s James here. I'd just remind everyone we are a broadcaster of Formula One in almost every region in the world. We are a very large part of Formula One's audience and in many places we have very long term rights agreements to Formula One and it delivers very well for our customer. And irrespective of whatever speculation is out there in the market we think that’s been a relationship that’s great for both sides and is going to continue.
Richard Greenfield - BTIG: Thank you for clarifying. 
James Murdoch: Thank you, Rich. Do we have next question please?
Operator: Our next question will come from the line of David Bank of RBC Capital Markets. Please go ahead.
David Bank - RBC Capital Markets : Okay, thanks. Chase, I was wondering if you could give us a trajectory that kind of benchmark over the next 12 to 36 months for viewership and ratings levels you expect to achieve at FS1. I also wonder if you could talk about how you see the business mix with respect to affiliate fees and advertising revenue shaking out when you get closer to maturity three or four years out when your new programming had sort of been on for a while like MLB, when you have no more speed legacy deals in place, basically at maturity, how do you see the revenue split between advertising and affiliate?
Chase Carey: Yeah, I mean first I don't think we probably would get to that level of granularity on year-by-year sort of rate increase that's probably just a level of detail beyond what we sort of put out there publicly. I think if you look out over time, I think the mix of affiliate and ad revenues and particularly on the sport side, probably tilts to the affiliate side of it. That's the nature of sports today that the importance of that end product it is, again I think it is the most important product, it is the most powerful product that again and not everybody certainly for a large segment of consumers, it is must-have product for a large segment of consumers. And therefore I think that's what leads for it to get reflected its value to get reflected in the affiliation side of it.  The advertising is certainly important. The live nature of the sport as I said before makes it uniquely valuable to advertisers. I mean you look at the NFL this year, I think it certainly probably is good as recent testament as you can find anywhere of how valuable sports is to advertisers. So, I don't mean to, certainly not trying to minimize the importance of the advertising side of it. But I think in general in the sports arena, the affiliate side will be the larger piece of the pie vis-a-vis advertising.
David Bank - RBC Capital Markets: Is that kind of a 50-50 mix or like a 70-30 mix, sorry just taking one more pass at it.
Chase Carey : We're not going to get into that type of granularity. It's -- the affiliate side, it's a bigger piece of it.
Operator: Our next question will come from Alexia Quadrani of JPMorgan; please go ahead. 
Alexia Quadrani – JPMorgan: Just sort of staying on that sports theme, we keep seeing more evidence of rising competition for the sports rights and obviously the rising cost of each franchises. Do the revenues generated, it sounds like to me so, it seems more than the advertising the growing TPMs in audience. I guess do they make up for the higher programming cost. You got such great prospective from your extensive franchise and obviously the Super Bowl. I am curious about the cost equation how that delta maybe changing going forward. Is it maybe for the better or for the worse, any color there would be great?
Chase Carey : I am not sure how to answer that. I guess what I'd say is our sports business we feel right about I mean and obviously we are dealing with these costs. We are -- when we do affiliate deals they are multiyear deals. And it's actually you get a pretty good roadmap for a fair bit of it if the affiliates the larger piece and you get deals that go out years, those rights agreements layer against that, you have to make some assumptions of rating in Ad dollars. But that’s a smaller part of the top line.  I think we feel like a pretty good visibility given again the nature of long term distribution agreements aligned with long term right agreements and the ability to keep those two things balanced; you have a really healthy business for us. And certainly to-date we have done it. And yes there is pressure on rights and I guess again as I said before it's a double edged nature of sports, it's the most important programming out there and probably gets more important as everything else fragments it sort of continues to in many ways stand taller and so that’s a positive.  The reality is it comes at a cost. I think we've good pretty track record and ability to be able to digest those costs and build real value. I think we are helped by the fact that I think buyers should have scale in that arena probably best position because I think breadths and depths I mean it's one thing, just sort of have a one-off. But I think to the degree you've got a broad array of sports for us regional, national, global, domestic. You sort of got something for everybody and I think that it really helps and I think gives it a bit of one plus one is three.  So I do think scale is going to become an increasingly important dynamic and the ability to get full value to maximize value for the rights you got. Steve, we have time for one more question, please. 
Operator: Due to time constraints, our last question will come from the line of Michael Morris of Guggenheim Securities; please go ahead. 
Michael Morris - Guggenheim Securities: Two questions. One again on sports rights, when you look at the latest sports rights that you have right now for FS1, do you feel like you have enough in terms of what you are trying to accomplish over the next three or four years on the affiliate growth side? Or the next big contract to come up would be the NBA, how do you look at potentially bidding for making an investment in the NBA relative to what your revenue objectives are? And is it important to kind of from a competitive perspective to keep rights away from other networks that is to bolster your own network? And then also on the affiliate side the 5% acceleration that you saw domestically, how much of that came from having NHL back on the air this fall and can you give us any insight on what you think that pace is going to look like in the new calendar year?
Chase Carey : I will cover the second one for you. It’s that the 15% domestic growth we had in the quarter about 5% of it is the impact of the NHL and Sports Time Ohio. So the underlying growth is about 10%. We've said that we expect double-digit gains in affiliate fees in the year and we're comfortable with that. In terms of the rights we have, simple answer is, yeah, we have to have the rights in place we need to execute the plan we've got. That doesn't mean we won't engage on new rights and I think we've always want to be opportunistic. If there is a dimension of rights, we're not going to buy everything.  So, we are going to be selective, but it doesn't mean that there won't be opportunities to add something that we think we can in turn down the road create incremental value. But the rights we have today, and then we've got a broad set of rights -- baseball, NASCAR, college football and basketball, UFC, soccer, champions league, world cup, golf, we've got a broad mix of rights, broad mix of rights and spread across the year. We feel great about where we're at. So certainly, we have the rights in place to execute the plans we've got.  But certainly we'll look at incremental rights and make a determination, the rights we could take on and create incremental value on them, and if not, and we feel very good about where we're at. In terms of -- I wouldn't take rights to keeping away from others, I think you'd be able to -- you're obviously building your own business, not spending money to -- if we can't make. I think our sports channel will be strong enough. We're comfortable that we can -- and we got enough breadth across the company that we can execute on delivering the value through our sports channel. We wouldn't invest in further rights, it'll have to make sense for us, we wouldn't invest with a purpose being to block others.
Reed Nolte: At this point, we'd like to conclude today's call. Thank you everybody for joining. If you have any further questions, please call me or Joe Dorrego here in New York. Thanks a lot.
Operator: Ladies and gentlemen, that does conclude today's conference call for today. On behalf of today's panel, I would like to thank you once again for your participation and thank you for using AT&T. Have a wonderful day. You may now disconnect.